Operator: Good day, everyone, and welcome to Itron Incorporated quarter two 2020 earnings conference call. Today's conference is being recorded.  For opening remarks, I would like to turn the call over to Ken Gianella. Please go ahead.
Ken Gianella: Thank you, operator. Good afternoon, and welcome to Itron's second quarter 2020 earnings conference call. We issued a press release earlier today announcing our results. The press release includes replay information about today's call. A presentation to accompany our remarks on this call is also available through the webcast and on our corporate website under the Investor Relations tab. On the call today, we have Tom Deitrich, Itron's President and Chief Executive Officer; and Joan Hooper, Senior Vice President and Chief Financial Officer. Following our prepared remarks, we will open the call to take questions using the process the operator described. Before I turn the call over to Tom, please let me remind you of our non-GAAP financial presentation and our safe harbor statement. Our earnings release and financial presentation include non-GAAP financial information that we believe enhances the overall understanding of our current and future performance. Reconciliations of differences between GAAP and non-GAAP financial measures are available in our earnings release and on our Investor Relations website. We will be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations because of factors that were presented in today's earnings release and the comments made during this conference call, and in the Risk Factors section of our Form 10-K and other reports and filings with the Securities and Exchange Commission. In addition, due to the fluid nature of the COVID-19 pandemic, Company estimates regarding the impact of COVID-19 on current or forward-looking statements are made in a good faith attempt to provide appropriate insight to our current and future operating and financial environment. Materials discussed today, August 3, 2020, may materially change, and we do not undertake any duty to update any of our forward-looking statements. Now please turn to Page 4 in the presentation, and I'll turn the call over to our CEO, Tom Deitrich.
Tom Deitrich: Thank you, Ken. Good afternoon, and thank you for joining us. In balance, we were pleased with our team's focus and execution this quarter against the backdrop of the COVID-19 global pandemic. Our continued commitment to our customers and aggressive actions to safely ensure business continuity yielded better results than we initially expected. You will hear details from Joan in a moment, but to summarize our second quarter performance, revenue was $510 million, adjusted EBITDA was $31 million, non-GAAP earnings per share was $0.03, and free cash flow was negative $10 million. We expect these results to be the low point for the fiscal year and would like to provide a brief update on the customer and operating environments as we see them today. Beginning with our customers, in the second quarter, we continued to see a healthy opportunity pipeline, several new tenders and awards across our segment with a significant acceleration in interest around our Riva distributed intelligence platform. As anticipated, we saw lower bookings in the second quarter of approximately $390 million, bringing our total backlog to approximately $2.9 billion. Additionally, our 12-month backlog remained steady at approximately $1.3 billion. While our bookings were below a 1:1 ratio this quarter, we continue to target a full year book-to-bill ratio over 1:1. Next, I would like to share some customer trends we saw in the second quarter that we expect to continue into the second half of 2020. Importantly, we have not seen any order cancellations to date, nor a slowing of collections due to COVID-19. Regionally, we saw Asia Pacific normalizing and the larger Western European countries taking cautious steps forward. Our customers in the United States continue to work through very fluid conditions. This includes ongoing COVID-19-related impacts and rollbacks in operating procedures for some states. Our customers have been providing reliable services, but several have temporarily slowed ongoing projects which impacts our business in the near term. We've seen regulatory delays in some of the hardest hit regions. Additionally, a few selected customers have delayed capital expenditures on selected new projects to combat tentpole COVID-19-related business impacts. As discussed in our prior earnings call, we tend to see larger customers coping a bit better with the impacts of COVID-19 versus smaller customers who face more significant operational and economic challenges. We expect these trends to continue through at least the balance of the year. While our customers' ability to resume normal operations will impact the speed at which we recover, we see a clear acceleration of customer interest in automation solutions, grid resiliency technologies and a thirst for more forecasting in data analytics. These are positive secular trends for our business that are well aligned to our strategy and the focus of our ongoing research and development investments. Turning to our operations. We are extremely pleased with the performance and the agility that our teams have shown in supporting our customers. I'm grateful for the dedication of the worldwide Itron team. The conditions exiting the second quarter has significantly improved from when we entered the quarter. We currently have all factories up and running with continued aggressive measures to ensure employee safety and manufacturing and field operations. Further, our supply chain and logistics network have stabilized. And while intermittent hotspots remain present, these issues are not sustained. Finally, we are not slowing research and development investments necessary for our long-term performance and will continue to position ourselves to capture the growing technology and service needs of utilities in cities of tomorrow. We are confident in our ability to work through the current environment and optimistic about the future opportunity. I will now hand off to Joan to discuss the second quarter results and the second half of 2020.
Joan Hooper: Thank you, Tom. Since the start of the pandemic, we have worked hard to managing this dynamic environment with disciplined cost controls and cash conservation measures, while always prioritizing the health and safety of our employees, customers and suppliers. We were pleased that our efforts resulted in better-than-anticipated performance in the second quarter. Please turn to Slide 7 for a summary of consolidated GAAP results. Second quarter revenue of $510 million, decreased 20% versus last year and 18% in constant currency. The year-over-year decline was due to reduced demand and the operating constraints related to COVID-19. This performance was better than expected, when we provided insight into Q2 on our last earnings call. Gross margin for the quarter was 27.2%, 290 basis points lower than last year, primarily due to manufacturing inefficiencies caused by COVID-19. The GAAP net loss of $63 million or negative $1.56 per share compared with net income of $19 million or $0.49 per diluted share in the prior year. As previously announced, we sold our Latin America business in 2Q and booked a $57 million non-cash loss on sale, which contributed to a $1.42 reduction in earnings per share. Regarding non-GAAP metrics on Slide 8. Non-GAAP operating income was $20 million. Adjusted EBITDA was $31 million or 6% of revenue. Non-GAAP net income for the quarter was $1.3 million or $0.03 per diluted share. Looking at the revenue by business segment on Slide 9. We saw a decline in all three segments that was primarily driven by COVID-19-related impacts. Device Solutions revenue was $129 million, an $80 million or 37% year-on-year decline on a constant-currency basis. Networked Solutions revenue was $324 million, a $31 million or 9% decrease year-over-year. Revenue in the Outcomes segment was $56 million, a $5 million or 8% decrease in constant currency from 2019. The Outcomes decline was primarily due to lower software license revenue versus last year. And lastly, foreign currency changes resulted in $11 million lower revenue versus the prior year. Moving to the non-GAAP year-over-year EPS bridge on Slide 10. Our Q2 non-GAAP EPS was $0.03 per diluted share, compared with $0.87 in the prior year. Due to better-than-expected operational performance and strong cost controls, our non-GAAP EPS was significantly better than we anticipated for the quarter. On a year-over-year basis, net operating performance had a negative $0.73 per share impact versus Q2 2019. Lower interest expense resulted in a $0.03 benefit. A higher non-GAAP tax rate decreased EPS by $0.12 versus last year. The higher non-GAAP effective tax rate was due to an expected shift in the mix of income by jurisdiction caused by COVID-19. In addition, our Q2 results included a true-up provision for the prior quarter, which resulted in a very high effective tax rate in Q2. And lastly, changes in foreign currency and share count resulted in a $0.02 per share decrease year-over-year. Turning to Slide 11, I'll cover liquidity and debt. Free cash flow was negative $10 million in Q2. This result was significantly better than we anticipated due to a quickly stabilized operating and supply chain environment and strong collections. Cash and equivalents at the end of the second quarter were $545 million. Total debt was $1.35 billion and net debt was $805 million. Net leverage was 3.8 times at the end of Q2. We believe we have sufficient liquidity to fund our operations through this pandemic, and our current capital priority continues to be cash conservation. Turning to Slide 12, I'll provide some insight into the second half of 2020. As Tom just mentioned, we still anticipate the second quarter to be the low point for revenue, earnings and cash flow performance in 2020. While our operations in supply chain capabilities have begun to normalize, our customers recovery is at varying rates across the globe. As we work with our customers, their current focus is on supplying essential services, which has delayed some projects and therefore the pace at which our business will recover. Taking this into account, we have the following view of the second half of 2020. First, it's important to note that our view is consistent with comments made on our last earnings call. While we expect operating improvements in the second half of the year, we anticipate revenue and non-GAAP earnings per share to be on par with the first half of 2020, with neither quarter being larger than our Q1 performance. This also considers a higher non-GAAP full-year effective tax rate of approximately 36%, driven by the shift in the mix of income by jurisdiction. Since the start of COVID-19, we have focused on mitigating the financial impact through the levers we control. We have tightened all discretionary spending through hiring freezes, reductions in outside services, delaying some capital projects, and we continue to evaluate all temporary cash conservation measures. We are managing cash receipts and disbursements very closely. With this continued focus, we anticipate the full-year 2020 free cash flow will be positive, although at approximately half of our prior year's performance. In closing, we are aggressively managing our response to these unprecedented times. Our services are essential to our customers today and the need for our solutions will increase as they begin to get back to normal operations. While the negative impact of COVID-19 on 2020 persist, we believe these disruptions in our business are temporary and they do not change the long-term earnings and cash generation potential of Itron. We are confident that the needs of our customers will drive growth for us in the future. We remain fortunate to be part of an industry that provides critical infrastructure to society. As the only U.S.-based industrial IoT pure play in our industry, we are well positioned to support our customers over the long term. While there will be challenges ahead, we are confident in our ability to successfully navigate the near term and to get back on track to reach our target operating model of improved operating leverage, expanded earnings power and the growth of free cash flow. Now, I'll turn the call back to Tom.
Tom Deitrich: Thank you, Joan. To summarize the key points that Joan covered. We are prudently navigating through the current uncertainties with actions in place for what we can control and prepared with a nimble response for the unknown. While we expect that our supply chain and operational performance will continue to improve in the second half of 2020, we recognize that many of our customers are still grappling with this fluid environment. To execute in the current environment, we are working daily with our customers to ensure alignment on their shipments, deployment schedules and ongoing operational activities. We anticipate, as regional conditions improve, our customers' focus on enhanced solutions and deployment timing will also accelerate. This includes increasing capital focused on future-proofing their business through digitalization, deploying solutions aimed at improving their operational performance and delivering increased grid resiliency and reliability. Internally, we continue to keep tight controls on operating and capital expenditures and drive actions focused on improving margins, as we continue our path toward our targeted asset-light operating model. We remain confident in our ability to work through the near-term challenges, execute our strategy and capture additional future value. Thank you for joining today. Operator, please open the line for some questions.
Operator: Thanks very much. [Operator Instructions] And we'll take our first question from Noah Kaye with Oppenheimer. Please go ahead.
Noah Kaye: Good afternoon, everyone, and hope you're well. I guess, first, well done in the cash management this quarter. And I think the free cash flow profile for the year is well above what the industry had been expecting. But I do want to ask here, I recall, you've been anticipating a working capital drag this quarter, in part because you were planning a large inventory build. Did you build less inventory relative to what you had expected? If so, what drove that? Or was it just better cash collection offsetting?
Joan Hooper: Inventory contributed as well, so we were able to build a little less than we anticipated. Certainly, we're still looking at opportunities for strategic buys where we are concerned with the supply chain. But we did -- we bought a little bit less than anticipated. But I would say the collections was probably the bigger piece. We had some conservative assumptions. We were worried customers may slow down, and in fact they did not.
Noah Kaye: Good. I mean, just to be clear, you built a little bit less inventory because the supply chain was in this pipe or because there was less demand required?
Tom Deitrich: Well, I think it's two things. One is the supply chain situation was normalizing a little bit faster than we initially expected. So getting components in the door was less challenging than we expected. As I commented earlier, there's a couple of hotspots remaining, but by and large that portion of the business has stabilized. The second piece of it is the revenue was substantially higher than we have -- what we had originally provided in the outlook. So the stuff that went out the door in the form of revenue was within our inventory.
Noah Kaye: Yeah. Yeah. Just got better absorption of that. Okay. And then trying to work through our numbers here. But the year-over-year tax rate hit, if I take your implied guidance going to 36% from, I think what we've got, low-20s last year, can you kind of just try to parse that out for us a little bit or dimension it out? We're looking at like, something like $0.30 here.
Joan Hooper: Yeah. It's about probably $0.25 for the year, relative to if you are using something like 25%. It's really just math on where we expect the income to go down. So it's going down in the U.S. and in Europe. But in particular, some of the countries in Europe where we have valuation allowances or we have places we can take advantage of the tax rates coming down, so it's strictly the map of a jurisdictional income.
Noah Kaye: Okay, thanks. And I apologize for a lot of questions, I'll ask one more before I turn it over. Just can you comment on drivers of conviction in getting the book-to-bill above 1:1 next year?
Tom Deitrich: Yeah. I think that there is a number of places that we've seen awards already starting to happen. As you know, we don't put something into the bookings until we have the regulatory approvals completed. We think there are several hundred millions of dollars of stuff that has been awarded and is just working through the final process to be able to do it. We see strong demand out there, and the places that we are growing is exactly where we are targeting our business to grow. So it is in things like distributed intelligence on the Riva platform, which really enables the utility to add capability on an ongoing basis moving forward. So it really is based on customer discussions and awards that are not yet showing up in the bookings is what gives us that conviction.
Operator: And we'll go ahead and take our next question from Ben Kallo with Baird. Please go ahead.
Ben Kallo: Hey, guys. So, I have three questions. So, the first, just compared to the Analyst Day, and you're -- I think you talked about free cash flow of $200 million by 2021. And I think, Joan, you said that your cash flow targets are still in order. I just want to make sure that we're still in order by the same year.
Joan Hooper: Yeah. No. So the comments I made on the call today were really about the back half of the year and the expectation that the full-year 2020 will be positive, albeit at about half of last year's performance. So last year's performance was a little over $100 million, $110 million or so. So I don't really give any comments on '21. I would say at this time that I think the model we shared at Investor Day is still intact, albeit it's definitely pushed to the right, given everything that's being going on with COVID. So I still think that is the right aspirational model, but it's going to shift a little bit to the right.
Ben Kallo: Great. That's very helpful. I guess your outpour kind of levers on the savings side, and one of the things that you said that you're not going cut R&D. And maybe could you describe to us why that is and where the R&D is going? I think that what we're trying to figure out, if I look at the Outcomes business and how its performing, I think we all figure you putting the R&D money into that. And so can you help us figure out where that money is going for R&D? And then how do we see that Outcomes -- but I guess the long lead contracts time it. So how should we think about that payoff? And I have one more.
Tom Deitrich: Very good. So, with respect to R&D, you are correct. The majority of where we are investing is for networks and outcomes-based solutions, that's where we intend to grow the business. Customer interest in improving their network performance with the end-game notion of future-proofing their business with things like distributed intelligence, improving resiliency and reliability, getting better monitoring of what's going on, better safety in a gas context or really understanding where you might have losses in your system through theft or other places like that, is where we would expect the business to grow. The timing on these things, the Networked business tends to be very big project-based activity. So as we are growing our networking business, it is those big projects that flow through backlog. So understanding what the backlog position is like is a good leading indicator of where the Networked business will go. Outcomes will likely drag behind the Networked growth activity for us to really get a network installed and then start deploying those value-added services and outcomes on top of it. So as Networked grows, that creates the greenfield for us to grow the Outcomes business, and that's where it will flow through. What we see right now with COVID-19 is certainly a slowing in the near term of the -- those opportunities as a lot of our customers are just focused on keeping the lights on and the water flowing. But the conversations that we have with them are rich in interest around the types of things that we're talking about resiliency, reliability, better insight into what's going on, and even all the way out to the consumer side where we've been pulled into some pretty interesting discussions with consumer-oriented companies about how we might be able to partner to give the utility a better activity in that portion of the market as well. So that's where the R&D goes and how you should expect it to flow through the P&L in the quarters ahead.
Ben Kallo: Thank you. And the last part, I guess on Device. So if I just look at the year-over-year, you're basically breakeven operating margin. And congrats on the deal you did in South America and the progress you've made so far. I guess, I'm wondering is there more of that type and you mentioned this. Where are you in your restructuring to move into those types of deals and away from complete this, like just the meter manufactured on every continent? And how should we think about that impacting, forget about this year, but next year and the year 2022? How do we think about that impacting your target, whether gross margin or operating margin target? So, just saying, look, you're not making any money on this -- on these Device Solutions. Is there a better way to do that while you invest all that money into the other two segments?
Tom Deitrich: A number of parts to your question there. Let me try to unpack it and then maybe I toss to Joan to talk a little more on the ongoing restructuring activities. But start with what is just behind us in the rearview mirror of Q2. Please recall that, that was a very low point where we had our European factories closed for a good portion, almost half of the quarter itself. So that's an unusually low point from a gross margin as well as a revenue point of view for that business. Those factories that opened up during the quarter and opened up a little faster than we had anticipated, and that's part of the growth that we expect to see sequentially into Q3. The next part of the discussion really is about operating more in an asset-lite kind of model. The -- a sale deal that we did in Latin America really was based on that notion of finding a way to make remain present and active in that marketplace with the Networks and Outcomes portions of our portfolio, but operating in a way that was more asset-light as demand might go up and down because of various fluctuations in the marketplace. That's a deal structure that we do like and we will continue to look for ways to do that. Our ongoing notion about how to put our supply chain together very much is targeting an asset-light model across the Board. And that's why you can see the portion of our manufacturing costs increase pretty steadily for outsourced manufacturing. We're a touch under half of our total manufacturing being outsourced today, and I would suspect that number probably creeps up with normal product rotations into the newer categories, which tend to be outsourced. So, we'll look to continue to improve on that model and pursue it logically forward as it's the right thing to do for our business. Now we do have an ongoing restructuring plan that we started back in 2018, which we will finish up the balance of that by the end of the year. There is one factory in Western Europe that's being consolidated out of the footprint over the next couple of quarters. So there's some residual money left in the P&L around that.
Joan Hooper: Yeah. Relative to the 2018 plan, our expectations is incrementally year-over-year from '19 to '20. There is a total of about $10 million in incremental benefit, probably split half between the margin line and the OpEx line. And those are still on track, albeit again the factory in France is a little bit late.
Operator: And we'll go ahead and take our next question from Joe Osha with JMP Securities. Please go ahead.
Hillary Cauley: Hi, this is actually Hillary on for Joe. And I think, first, I just kind of wanted to ask a clarifying question on the comments Joan made about the 2021 model that you guys have kind of put out for that at the Analyst Day. And just to clarify, are you -- the revenue range that you had kind of given there, is that something that we could still see as achievable next year? Or were you more kind of speaking to the margin profile outline there?
Joan Hooper: On really both. So again, if you look at the -- from originally Ben's question around the targets, I think the targets that we showed at Investor Day in terms of the gross margin profile and the growth in the free cash flow generation are still the right targets. But given the COVID situation, those charges -- achieving those targets have definitely pushed to the right. How far to the right, it's really a function of when regulatory environment, it becomes a little bit more clear when the capital projects return. Our best guess right now at '21 is, we will probably see revenue growth in the low-single-digit range.
Hillary Cauley: Okay, great. And then understanding that kind of the near-term focus is on conserving capital. I was just kind of wondering if, even conceptually you could kind of outline when we might see you start to bring leverage down again? Thank you.
Joan Hooper: Yeah. We're definitely going to be continuing to monitor the situation in the second half of the year. And so, right now, we have done very well from a free cash flow generation standpoint relative to our initial expectations. We'll monitor that in the back half of the year. And if things look like they're going to continue to improve, we'll probably look at starting to pay back some of the revolver by the end of the year.
Operator: And we'll go ahead and take our next question from Jeff Osborne with Cowen & Company. Pleased go ahead.
Jeff Osborne: Most of the good questions have been asked, but maybe just following up on Noah's about the confidence in the book-to-bill above one. I implied that you needed regulator approval just with COVID coming back around the country in certain hotspots, I guess what gives you the confidence that some of the programs that you referenced, that you won or been awarded, but don't have approval [Indiscernible] I'll go get it. What gives you the confidence that the regulators will rather stamp that?
Tom Deitrich: Well, again, we were judicious about where we were looking to forecasting the wins based on the regulatory process and how things were coming together. There are some parts of the country which have moved along quite nicely and adapted a more virtual model for the regulatory process. There is even been a positive regulatory outcome in the upper Midwest recently that's published and public as well that things do move forward. There are other places in some of the hard hit regions, in the Northeast, where things really have slowed down and decisions have been pushed. But those are exactly the things that we kind of factored out as we were looking forward to it. So the net and sum of all of that is why do we feel that that's the right place for us to park. It is customers' discussion points and interaction with the regulatory process as those filings have been prepared. We think they'll flow through.
Jeff Osborne: That's great to hear. And is the -- Tom, is there any update on regulators in approving of rate basing SaaS applications? I know that a handful of states allow that now. But just given COVID and remote monitoring and automation, is that something that also is moving forward or not necessarily?
Tom Deitrich: Well, I would say that, it continues to move forward in terms of discussions in almost all 50 states at this point. I can't think of any one state of the top of my head that clicked over into this category since the last time we talked. So, by my count, it's in the upper 30s, call it 36 or 37 states allow performance-based rates. A couple really allow you to capitalize SaaS and more discussions under way. So, I think still positive momentum and tailwind there, but no big news, I would say, during the last quarter or so.
Jeff Osborne: Got it. My last question is just can you talk about visibility or similar to the regulator question. Your municipal exposure, first of all, as a company, you no longer break out the segments of water, gas and electric. But can you just remind us what the water exposure is? And then what you're seeing with the municipal channel in particular?
Tom Deitrich: Sure. So, our presence in that smaller market opportunity, whether it is in the water space or whether it's in the muni co-ops space for gas or electric is a smaller portion of our business. So call it 20% or so is about where we run there. So, what we see certainly is those customers have struggled quite a bit more to switch over to a virtual world. Even for some of the basic things they need to do for customer care, we jump in and try to help and certainly discuss with them the types of technology we provide and how that might help them run their business a little bit more effectively. Interest in that area, but we also recognize that their tax base, which is based on local sales tax and things of that sort, has dropped quite a bit as well. So, I still think it takes a little bit longer for those markets to return to a more normal environment than the big investor-owned utilities and larger grid solution. So, I think that will be a couple of quarters or if not a year longer in terms of the shape of the recovery based on what we see today.
Jeff Osborne: Are you counting SMUD and LADWP and those types of people in that number or no? The larger…
Tom Deitrich: Well, those are big enough that I kind of put them into the mid-market area. I'm really talking more rurals and small water munis with my commentary there. So that's the bigger regional guys and the two that you mentioned, I would put into the sort of mid-market kind of area. And certainly, they've got challenges as all customers do in the current environment, but maybe less so than the smaller group.
Operator: [Operator Instructions] We'll take another question from Pavel Molchanov with Raymond James. Please go ahead.
Pavel Molchanov: Thanks for taking the question. One more on the Latin America transaction. I realized you're not exiting the region, but you are -- it seems like de-emphasizing it. And given the pandemic, is there a sense that maybe you're kind of getting out at the bottom of the market, so to speak, and maybe it would have been better to wait for some stabilization there before doing the deal?
Tom Deitrich: Interesting thoughts. I would say that time -- the timing of our announcement together with COVID is that, that's coincidence rather than any sort of strategy. That deal have been under way, to be honest, well before COVID hit. So the financials associated with it and the structure behind the deal wasn't really based on the market as you see it today. It predates it, point one. Point two is, I don't know that I would want to call it a de-emphasis on the market, I would very much want to think about it as a better way to attack the market from a model, from our standpoint. So, taking out some of your exposure to the fixed cost portion of operating in the environment when you got a pretty dramatically fluctuating and demand depending on local economies, it's just a better way to attack it when we operate on variable cost. We still have access to it. We ship in -- and from a distributor model, we just don't have the fixed cost. So, when we announced the deal and said things like no material impact on the outlook for the year, it really is based on -- it's a better way to attack the market from our financial point of view because we're operating on variable cost rather than disappearing from the market.
Pavel Molchanov: Okay. Question about '21. I realize it's early, but you made a statement a few minutes ago that your baseline expectation is revenue growth in the low-single digit. What gives you the kind of visibility that far ahead to make the forecast, because I think normally you wait until February to do that?
Joan Hooper: Yeah. I mean, part of it is the pipeline that -- in the backlog that Tom was talking about. So, we got about $1.3 billion in 12-month backlog. And so, as we look at the bookings we expect to sign between now and in the end of the year as well as the 12-month backlog that we have, that's what we currently see. And again, that could change depending on regulatory environment and capital projects, etc. But at this point in time, low-single-digit growth is what we see.
Operator: This concludes today's question-and-answer session. I would like to turn the call back over to CEO, Tom Deitrich, for any additional or closing remarks.
Tom Deitrich: Thank you very much, everyone, for joining the call. Itron is well positioned in the industry we serve. There is a growing need for our leading technologies. We're confident in our ability to navigate near-term challenges and truly excited about the future. So with that, we will sign-off. Be well, everyone.
Operator: Once again, that does conclude today's conference. There will be an audio replay of today's conference available this afternoon. You can access the audio replay by dialing 1-888-203-1112 or 1-719-457-0820 with the passcode of 1649295, or go to the Company's website at www.itron.com. Thank you very much, and have a wonderful day.